Operator: Good day, ladies and gentlemen. Welcome to the Cavco Industries, Incorporated Third Quarter Fiscal Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instruction will be given at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to turn the conference over to Joe Stegmayer, Chairman and CEO. You may begin.
Joseph Stegmayer: Thank you. Welcome, everyone. And we’ll begin with Dan Urness, our Chief Financial Officer, providing required disclosure and into the financial report. Dan?
Daniel Urness: Good day, everyone. Before we begin, we respectfully remind you that certain statements made on this call either our remarks or our responses to questions may not be historical in nature, and therefore are considered forward-looking. All statements and comments today are made within the context of the Safe Harbor rules. All forward-looking statements are subject to risks and uncertainties, many of which are beyond our control. Our actual results or performance may differ materially from anticipated results or performance. Cavco disclaims any obligation to update any forward-looking statements made on this call, and investors should not place any reliance on them. In addition, this presentation will include certain non-GAAP financial measures. Investors should consider non-GAAP financial measures in addition to, but not as a substitute for financial measures prepared in accordance with GAAP. For complete information on these subjects and as well as the reconciliations from non-GAAP to the most comparable GAAP financial measures are included as part of our earnings release filed yesterday and is available on our website and from other sources. For our financial report this quarter, net revenue for the third fiscal quarter was $181.4 million, up 23.5% from $146.9 million during the third quarter of fiscal year 2015. The increase was primarily from incremental home sales activity of the Fairmont Homes and Chariot Eagle operations acquired during the first fiscal quarter, as well as higher sales volume from core or existing operations during the quarter. Consolidated gross profit in the third fiscal quarter as a percentage of net revenue was 20.1%, down from 21.6% in last year’s third fiscal quarter. The decline was from lower gross margin homes sold during the quarter within normal product mix fluctuations, and lower gross margins from financial services. Selling, general and administrative expenses in the fiscal 2016 third quarter as a percentage of net revenue was 13.1% compared to 15.0% during the same quarter last year. The improvement was from SG&A utilization on higher sales volume from the new operations and our pre-existing business. Other income in the third fiscal quarter is lower than the prior year amount, which included the net gain of $1.3 million from the sale of idle properties the company had obtained as part of previous acquisitions. The effective income tax rate for the third fiscal quarter was 32.5% compared to 37.1% in last year’s third quarter. The lower effective tax rate was the result of tax credits including Energy Star and workers opportunity tax credits renewed by Congress for 2015 and 2016 during the quarter, and manufacturing-specific deductions. Net income for the third fiscal quarter of 2016 was $8.1 million, up 39.7% compared to adjusted net income of $5.8 million reported in the same quarter of the prior year. As adjusted to reflect net income before the $1.3 million net gain on sale described previously. Net income per diluted share for the third quarter was $0.89 versus $0.65, as also adjusted during last year’s third fiscal quarter. Comparing the December 26, 2015 balance sheet to March 28, 2015, cash was approximately $96 million at the end of third fiscal quarter, compared to approximately $97 million nine months earlier. The decrease was primarily from cash paid on acquisitions completed during the year, largely offset by net income and cash provided by operating activities. Several balance sheet accounts increased primarily from Fairmont Homes and Chariot Eagle transaction. Commercial loans receivable also grew from additional inventory of floor plan lending activities during the period. Lastly, stockholders equity grew to just over $344 million as of December 26, 2015, up approximately $24 million from the March 28, 2015 balance. Joe, that completes the financial report.
Joseph Stegmayer: Okay. Thank you, Dan. Industry shipments for calendar 2015 should come in at about 9% over calendar 2014. We are yet to see December’s numbers, but we think that it should be nearly 9%, that’s following a calendar 2014 increase of about 7%. Last quarter in this call, we indicated some modest increase in our optimism and I think that proved to be warranted. Business was a quite good for the quarter. We’re certainly not out of the woods yet in terms of some of the challenges in the industry and housing in general the economy face. But we think the manufactured housing in general should continue to improve. We’re quite optimistic for the year ahead. And we think calendar 2016 should produce growth again in industry shipments of 10% and we would expect that to have some upside potential. The increase in single-family housing starts and new single-family home sales is also encouraging, still at fairly low levels historically, but indicating an improvement in demand. A major consulting company indicates that there’s a need for 3.2 million, I should say, new homes. And we think that this is again a good indicator of future demand for manufactured housing as well. The trend seems to be for lower price point products. And again, as we mentioned in the past our industry excels in that venue. Lot of our homes go to rural areas. We’re building - site-built homes are increasingly expensive and disproportionately expensive to building in urban areas. So that is also a good sign for us. I know, there are certainly some concerns about oil pricing obviously in the economy in general, and particularly in states like Texas, where we’re operating and have operated for many years, have four factories, considerable involvement in the state of Texas. We would tell you that to-date we have not seen significant impact from the effects of the oil price declines. In West Texas, certainly, where we have some retail operations and sell homes in that West Texas market, which tends to be more oil - petroleum-based. We have seen a decline in sales, but in Texas overall, our retail sales are actually up over the third quarter last year. So we have not seen any significant impact at this time. Obviously, we’re watching that closely. We would point out that, while the oil price decline can cause loss of jobs, the countermeasure for us at least, we believe, is that the reduction in fuel prices for consumers can be very important, particularly to our buyers who are, often times they say, living in rural areas and driving more miles, and fuel costs can be considerable part of their budgets. So their fuel cost decline that can create more disposable income for the affordable home buyer. With that, we’ll open up to any questions, and I’d be happy to try to answer them.
Operator: [Operator Instructions] Our first question comes from the line of Daniel Moore of CJS Securities. Your line is now open.
Daniel Moore: Good morning, Joe. Good morning, Dan. Thanks for taking the question.
Joseph Stegmayer: You bet.
Daniel Moore: Joe, a lot of detail, I greatly appreciate it. Your outlook for 10% growth in fiscal 2016 for the industry, you mentioned with some potential upside. Maybe you talk about what are sort of some of those things that could drive a little bit of upside, and what are your expectations for Cavco’s growth relative to that opportunities to take share, headwinds relative to the industry, those types of things.
Joseph Stegmayer: Right. The upside we referred to is largely based on employment growth. We continue to see employment growth and full employment. That is people working full-time jobs. That’d certainly be a positive for us. People are not going to enter into a large consumer durable purchase like a manufactured home, that’s obviously on a payment kind of basis without solid job prospects and solid employment. Likewise, I think the other thing continue to help us is that, as people continue to repair their credit from the Great Recession. As months, quarters go by, people’s credit background can and should be improving. And I think we’ll see more people over time qualify to enter into a loan agreement to buy a home. I think that’s a time issue, but I think as the economy stays relatively stable or improve somewhat those folks will be seeing their credit scores, and then thus be able to qualify for home purchase. Lastly, I’d say that, hopefully, the financing picture will continue to improve. Seems to be opening up a little bit, but still for many of our buyers financing can be somewhat challenging for land homes, traditional mortgages, most buyers can get credit. But for the channel business, the personal property loans on homes where the home is the only collateral for the loan, that’s still somewhat restricted. Now, the FA has been talking about some new plans that should help, could help our industry. They’re suggesting that Fannie and Freddie can do some trial programs on channel lending. And that could certainly be a boost if that happens. The problem is that there’s not a good secondary market for the sale of channel lending. And that’s why, it’s being done in limited arenas and limited amounts. So those are some factors that could help us. Dan, sorry for long answer.
Daniel Moore: It’s very helpful. And just a quick follow-up on that topic, what is it that is restricting the secondary market for securitization? Is it just lack of size, scale or just general interest?
Joseph Stegmayer: Right, and for those not familiar with our industry on the call, traditionally or historically, channel lending in the manufactured housing space has been securitized and sold in the public markets. Of course, that went away during the Great Recession. It hasn’t returned for our industry, surprisingly, although it’s returned for many other industries. So we still have a lack of an ability to gather those loans together in a portfolio and sell them in a securitized fashion. And why that’s occurred, we are not exactly sure. It could be the size of the industry is not large enough. It could be issues just not getting enough recognition or attention. But we continue to try to talk to fixed income investors and others about of these loans where possible our relationship to sell loans even in the private market. And we expect that maybe at some point we’ll have some success. We’re seeing some more interest. The loans can perform very well when they’re underwritten properly. They’re attractive yields, yield spreads. So we think it will eventually happen, but it certainly has been disappointing as it happened. It’s taking quite - a lot longer than it should.
Daniel Moore: Got it. Dan, maybe just switching gears, gross margins, you mentioned mix and financial services. Can you give us a little bit more detail on both?
Daniel Urness: Sure. With mix, it just continued demand on the lower price point side, even in our product offering, and resulting somewhat lower gross margins on that product, but a large piece of that also is on the financial services side. As I mentioned, we had higher claims activity this quarter in our insurance subsidiary compared to last year’s third quarter. And that was in the form of rain and wind damage in Texas, even including Tornado activity in the Dallas area in late December. So it drove claims higher than in the prior year. So still a profitable quarter for that entity, but not where it should have been.
Daniel Moore: Got it. Very helpful. Last question, I’ll jump back in queue. Obviously, despite two acquisitions this year, we’re sort of back to where we were at the beginning of the year in cash and it continues to grow. So barring additional acquisitions, when is the earliest you might start to think about alternative uses of capital like dividends or share repurchases?
Joseph Stegmayer: Well, we are constantly looking at alternative uses. And one of those uses has been our lending programs we’re doings with customers. Dan, kind of refer to it in his comments, our commercial lending numbers are increasing. So we use cash in that. That does two things. It employs our cash at reasonably attractive rates and it helps us sell homes, sell more homes. So we’ll deploy money in those areas. We’ll also look at deploy money in consumer lending. If we can again see an outlook for secondary market to sell those loans we’ll start warehousing them, and that would take some cash to warehouse them. And then, I think as you might be alluding to, is stock repurchases or dividends, and we certainly have that on our list as well. We don’t think we’re quite at the point. We’re going to start dividend program certainly. We think that’s still little bit off. The stock repurchase is an ongoing decision we’ll make from time to time. But again, given the size of our company and our growth pattern and the fact that we expect to see substantial growth over the next five years, we like the availability of the cash and the flexibility it gives us, not only from a corporate development and acquisition standpoint, but from expansion of our existing businesses.
Daniel Moore: Very good. Thank you again.
Joseph Stegmayer: You bet. Thank you.
Operator: Thank you. [Operator Instructions] Our next question is from Chris Stanzione of Stanzione Advisors. Your line is now open.
Chris Stanzione: Hey, Joe. How are you doing?
Joseph Stegmayer: Hi, Chris. Good to hear you again.
Chris Stanzione: Good quarter. A quick question regarding the mix that you mentioned earlier, I guess, the gross profits reflect more single lines. What do you think has to happen? What’s your expectation for the mix in 2016? And do you expect to see maybe more double as part of that mix? Thanks.
Joseph Stegmayer: I would think so. Again, as the economy continues to improve. As people’s personal situation - personal financial situation get better, I think people tend to want a larger home, a home with more amenities if they can afford it. So I think we’ll gradually see that. It’s obviously been a more price point market the last couple of years. We are seeing it gradually change. There will be fluctuations quarter-to-quarter. But I think you’ll see - over time, you’ll see a mix of somewhat higher price point products continue to develop.
Chris Stanzione: Great, thanks. And then, on the SG&A line, I guess, you did get some operating leverage there. You expect that you’ll able to continue to see those improvements on income from operations.
Daniel Urness: We do. We have brought in the integration processes and continue to work on those with the new operations and been able to realize some SG&A leverage off of that. We expected that that will continue and it’s good to see the percentage go as planned, so yes.
Chris Stanzione: Okay. Thank you.
Joseph Stegmayer: Yes, thank you.
Operator: Thank you [Operator Instructions] I’m showing no further questions at this time. I’d like to hand the call back over to Joe Stegmayer for any closing remarks.
Joseph Stegmayer: Okay, thank you. Well, no further questions, we’ll be happy to talk to anyone individually. Feel free to contact us. And we look forward to a good quarter, and to talk to you again in a few months. Thanks for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. That does conclude today’s program. You may all disconnect. Have a great day everyone.